Operator: Ladies and gentlemen, welcome to Frontdoor's First Quarter 2021 Earnings Call. Today's call is being recorded and broadcast on the Internet. Beginning today's call is Matt Davis, Vice President of Investor Relations and Treasurer and he will introduce the other speakers on the call. At this time, we'll begin today's call. Please go ahead Mr. Davis.
Matt Davis: Thank you, operator. Good afternoon, everyone and thank you for joining Frontdoor's First Quarter 2021 Earnings Conference Call. Joining me today are Frontdoor's Chief Executive Officer, Rex Tibbens; and Frontdoor's Chief Financial Officer, Brian Turcotte. The press release and slide presentation that will be used during today's call can be found on the Investor Relations section of Frontdoor's website, which is located at investors.frontdoorhome.com. As stated on slide 2 of the presentation, I'd like to remind you that this call and webcast may contain forward-looking statements. These statements are subject to various risks and uncertainties, which could cause actual results to differ materially from those discussed here today. These risk factors are explained in detail in the company's filings with the SEC. Please refer to the Risk Factors section in our filings for a more detailed discussion of our forward-looking statements and the risks and uncertainties related to such statements. All forward-looking statements are made as of today May 6 and except as required by law the company undertakes no obligation to update any forward-looking statements, whether as a result of new information, future events or otherwise. We will also reference certain non-GAAP financial measures throughout today's call. We have included definitions of these terms and reconciliations of these non-GAAP financial measures to their most comparable GAAP financial measures in our press release and the appendix to the presentation in order to better assist you in understanding our financial performance. I'll now turn the call over to Rex for opening comments. Rex?
Rex Tibbens: Thanks, Matt, and good afternoon everyone. We are off to a fast start in 2021, as we continue executing on our strategic plan for the year. In the first quarter, we achieved our highest quarterly revenue growth since the spin-off with year-over-year revenue growing from 8% in Q4 to 12% in Q1, a 50% increase in the revenue growth rate quarter-to-quarter. We expect to achieve sustained overall annual double-digit revenue growth going forward. Now turning to slide 4 where I'll provide a quick update on our 2021 objectives. Let me start with the drivers of our double-digit revenue growth. I am very pleased with our first year direct-to-consumer or DTC channel growth of 16% which validates the marketing investments and conversion funnel improvements we made over the last several quarters. We also successfully completed the nationwide rollout of our new B2C product redesign in April and have seen a strong response to our new premium product shield platinum. This new product line coupled with our ability to dynamically price should continue to provide revenue tailwinds for us in 2021 and beyond. As it relates to our first year real estate channel, the macroeconomic backdrop remains mixed. On one hand, the National Association of Realtors reported existing home sales increased 15% in the first quarter with median price increasing a record 17% in March. On the other hand, home inventory remains extremely tight. While we generally benefit from the higher number of real estate transactions, the lower inventory creates a seller's market where the seller is less inclined for about a home service plan as part of the transaction. As discussed on our last call, our team has been refocusing our real estate broker partners efforts to market more to the buyer in the sales transaction and we've been seeing some real progress as a result of this initiative. Additionally, we experienced some temporary slowness from the February winter storms in certain key markets such as Texas, but we still expect those homes to close and to capture those customers. Home service plan growth is expected to accelerate over the year. While we are monitoring what might happen to consumer behavior as the economy starts to open up more, we believe we are well positioned for the future. Our second objective for 2021 is to advance our automation initiatives. Our North Star remains focused on proactively innovating our processes through automation that will drive improvements in the customer and contractor experience. These efforts are targeted at reducing cycle time, improving customer retention, reducing costs and give us more line of sight in potential service issues and the opportunity to intervene before they become a customer problem. In the first quarter, we completed the appliance purchasing portal launched a new contractor portal and further enhanced the use of stream video calls in our core home service plan operations. While there's much more I want to accomplish on this front, I am pleased with the effort our team has made on advancing multiple projects at the same time. We generally remain on track or ahead of schedule. In fact, we are already receiving positive feedback from our customers and contractors on how we interact with them. This is a multiyear journey as we are truly redefining our business and the industry. Our third objective is to expand our customer retention initiatives. In the first quarter, we saw some near-term pressure on renewals as a result of COVID-19, which was twofold. First the industry-wide appliance equipment and parts availability issues resulted in longer cycle times. Second, we have sub-optimal customer service levels in our customer care centers during the peak of the pandemic in 2020 that may impact our renewal rates this year. We've made great strides in customer retention in 2020 and I expect customer retention to improve over the remainder of 2021 as we continue to focus in this area. As I've said in the past, we can achieve much greater retention rates through our ongoing digital transformation and our teams won't stop until we reach our goals. Our fourth objective is to execute our growth strategies for both ProConnect and Streem. ProConnect is off to a good start this year with a larger component of their growth still coming in the back half of the year. The team has been deepening our contractor capacity introducing core trade into new markets and improving our marketing efforts. We've also begun to cross-market ProConnect services to our existing home service plan customers and we will ramp those efforts over the next several months. Our current home service plan customers have enjoyed convenience of signing up for additional maintenance services such as preseason HVAC maintenance checks. These types of services are a good tool for reminding customers of the value proposition we bring outside of their traditional home service contract. We are still on target for updating the American Home Shield website to be able to cross-market ProConnect to our 30 million annual visitors to that site. The internal rollout of Streem's augmented reality service is going very well. We are now focused on accelerating contractor and customer adoption rates through strong support from marketing and product management to drive awareness. Our goal is to continue to ramp the number of service requests that utilize Streem to not only enhance the customer experience by reducing the cycle time but also to improve our contractor interactions and reduce costs. We also remain excited about the environmental benefits of using Streem to reduce the number of contractor truck rolls needed to complete a service request. In summary, we are off to a great start for the year and our business continues to perform extremely well. I'm excited by our revenue growth and plans for the remainder of the year. We remain extremely positive on the long-term fundamentals for all of our businesses as a result of strong execution. However. we are still early in 2021 and there's a lot more work to do as we continue to execute against an aggressive set of goals. I will now turn the call over to Brian. Brian? 
Brian Turcotte: Thanks Rex and good afternoon everyone. Let's now turn to slide five and I'll review our first quarter 2021 financial results. Revenue increased 12% versus the prior year period to $329 million driven by approximately seven percentage points of volume growth and five points of higher pricing. I would also point out the volume component includes strong year-over-year growth off of a small base from both ProConnect and Streem. If we look at our home service plan channels, revenue derived from customer renewals was up 12% versus the prior year period due to improved price realization and growth in the number of renewed home service plans. First year real estate revenue was up 2% versus the prior year period primarily from improved price realization. Due to the annual nature of our home service plan agreements first year real estate revenue continues to be impacted by the steep decline and existing US home sales that occurred in the second quarter of 2020 as well as the strong sellers' market Rex mentioned earlier. As background, our first year real estate units increased over 4% in the first quarter of 2020 versus the same period in 2019 and had strong momentum until COVID-19 impacted existing home sales in the second quarter. As we lap that second quarter our volume is expected to show a strong rebound when compared with the prior year period. First year direct-to-consumer revenue was up 16% versus the prior year period. This was primarily due to incremental marketing investments in the second and third quarters of 2020 and increased year-over-year investment in the first quarter of 2021, resulting in a higher number of home service plans. Other revenue increased $5 million over the prior year period, primarily due to an increase in the growth trajectories for both ProConnect and Streem. Also, we remain confident that ProConnect will achieve the annual revenue target we previously provided approximately $20 million in 2021 as a result of completing 80,000 jobs across the 35 cities we currently serve. Gross profit increased 1% in the first quarter versus the prior year period to $148 million and our gross profit margin was 45%, which I'll review in a moment. Net income was $5 million, while adjusted net income was $9 million. Net income and adjusted net income declined $8 million and $9 million respectively from the prior year period due to lower operating results offset in part by a decrease in provision for income taxes. Adjusted EBITDA was $36 million in the first quarter 2021 versus $47 million in the prior year period. This was just above the top end of our guidance range as appliance service requests were somewhat lower than projected in January and February. And we also benefited from realigning the timing of our SG&A spend to better match demand. Let's move to the table on slide six and I'll walk through the adjusted EBITDA bridge from first quarter 2020 to first quarter 2021. Starting at the top we had $28 million of favorable revenue conversion in the first quarter versus the prior year period. Excluding the impact of the change from higher revenue contract claims costs increased $26 million in the first quarter versus the prior year period. This was primarily driven by a higher number of service requests in the appliance, plumbing, and HVAC trades increased cost pressure in the appliance trade and inflation, all offset in part by process improvement benefits. We estimate that COVID-19-related appliance and plumbing service requests negatively impacted first quarter claims cost by approximately $11 million. The higher cost in the appliance trade were mostly a result of industry-wide parts availability issues that drove additional appliance replacements. The increased number of service request in our HVAC trade versus the prior year period was driven by a higher number of heating degree days and the extremely cold temperatures that accompanied large winter storms and resulted in an unfavorable impact to claims cost in the quarter of approximately $5 million. Sales and marketing costs increased $5 million in the first quarter versus the prior year and were primarily investments to drive growth in the direct-to-consumer channel ProConnect and Streem. Our store service costs increased $2 million in the first quarter versus the prior year due to a higher number of service requests in the related call volume. We believe about half of the service cost increase was COVID-19 related and the balance for investments in customer retention initiatives. And finally general and administrative costs increased $4 million in the first quarter versus the prior year due to increased personnel expense and investments in technology. Please now turn to slide seven for a review of our cash flow and cash position for first quarter 2021 compared to the prior year period. Net cash provided from operating activities was $52 million, a $7 million decrease versus the prior year period primarily due to lower earnings. Net cash used for investing activities was $7 million and included recurring capital needs and technology projects. Net cash used for financing activities was $105 million compared to $3 million in the prior year period and was primarily due to a discretionary term loan debt repayment of $100 million in February. Free cash flow, calculated as net cash, provided from operating activities minus property additions, was $45 million in the first quarter of 2021, compared to $52 million for the prior year period. The decline was due to lower cash from operating activities. Cash totaled $538 million, which included restricted net assets of $175 million and unrestricted cash of $363 million. Our available liquidity at the end of first quarter 2021 totaled $611 million and included $248 million of available capacity under our revolving credit facility. I should note that we are continuing our efforts to free up restricted cash. For example, during the first quarter we issued $2 million in letters of credit to release the same amount of restricted cash. Although small in scope, it's indicative of our focus on freeing this cash for more productive uses. As I mentioned last quarter, when discussing our capital allocation strategy, we will continue to responsibly invest in both the core home service plan business as well as ProConnect and Streem. However, even with these investments, we would expect our business to generate a sizable amount of excess cash this year. Beyond organic growth, we remain acquisitive and continue to evaluate potential opportunities within the home services industry and in the technology space. I'll now conclude my prepared remarks by providing our full year and second quarter 2021 financial outlook. As you can see on slide 8, our full year 2021 outlook remains the same as previously provided despite the better than expected first quarter adjusted EBITDA results. This is due to the factors previously mentioned, including the lower-than-projected appliance service requests early in the first quarter and SG&A expense timing. Before I leave the full year outlook, I would like to provide more color on our projected gross margin of 48% based on the questions we received from analysts and investors following our fourth quarter earnings call. First, global supply chain issues have been in the headlines since the pandemic began and more recently as a result of the severe winter storms and we continue to see inflationary pressure on our business as a result. Appliances, water heaters and replacement parts remain in short supply and costs more to acquire and transport than one year ago. While inventory levels have improved since late 2020, availability is still not at pre-COVID levels. Production at most of our key suppliers is at or near capacity, but demand remains higher than normal and the global supply chain issues are impacting delivery speeds. Pricing and availability for items such as plastic resin and insulation metals, processor chips as well as logistics are not expected to improve until later this year. While the environment is challenging, we have an experienced and innovative supply chain team that is working closely with our suppliers to source equipment and parts, and I suspect our position is relatively better than most companies providing home services. Second, we're projecting roughly the same elevated level of appliance service request incident rates, we experienced in the second half of 2020 through mid-second quarter 2021 and then dropping to a rate roughly halfway between that elevated rate and historical service request rates for the balance of the year. Third, we have benefited from lower than normal summer temperatures during the past two years and the favorable impact on our HVAC service requests. For 2021, we are planning on a higher service request rate. But if we have another mild summer that could provide upside to gross margin. And fourth, we're projecting a higher mix of first tier direct-to-consumer and ProConnect revenue in 2021, which is margin dilutive. And the larger benefits from dynamic pricing will not be realized until later in the year. I would like to make one final comment about our full year 2021 outlook. We had an unusually low effective tax rate of 9.8% in the first quarter primarily due to excess tax benefits from share-based awards. However, we continue to expect our full year 2021 effective tax rate to be approximately 25%. Moving to the second quarter outlook. We expect our revenue to range between $460 million and $470 million, and adjusted EBITDA to range between $90 million and $105 million. We're providing a slightly wider range for adjusted EBITDA this quarter, given the timing uncertainty around both COVID-19-related service request and the summer weather impact on HVAC clients. The second quarter outlook includes the following assumptions: continued direct-to-consumer and renewal channel revenue growth, along with significant increase in first year real estate revenue as we lap the COVID-19 impact on existing home sales one year ago; continued cost inflation pressure as a result of the drivers, I previously mentioned as well as the ongoing impact of COVID-19 on the number of appliance service requests; a $9 million increase in sales and marketing investments to support our growth objectives; a $6 million increase in service investments, primarily driven by customer growth improved service levels and customer retention initiatives; and additional general and administrative investments to support our growth. With that, I'll now turn the call back over to Matt to open the question-and-answer session. Matt?
Matt Davis: Thanks, Brian. As a reminder, during the question-and-answer session, we encourage you to ask any questions you may have, but please note that guidance is limited to the outlook we provided. Operator, let's open the line for questions.
Operator: Thank you. We’ll now begin the question-and-answer session. [Operator Instructions] Today's first question comes from Youssef Squali with Truist Securities. Please go ahead.
Youssef Squali: Great, thank you very much. I have two questions please. First, Rex I want to go back to DTC segment, which is really impressive, up 16%. I want to talk a little bit, maybe the market inefficiency that you're seeing there the sustainability of that. How do you see that trending throughout the rest of the year? And then, on the retention, I think you guys talked about renewals seeing some pressure. Can you just unpack that a little bit for us? How do you see that also reversing throughout the rest of the year? Thank you.
Rex Tibbens: Sure Youssef. I think that for -- in terms of direct-to-consumer, this is really the investments we made last year as well as the investments we made this year have really started to I think take hold. I'm expecting that we see sustained double-digit growth for the remainder of the year. We're still very focused on conversion as well as we make some tech improvements to the funnel. So I think this is a combination of investments we made last year as well as investments we're making this year. And I'm very proud of the team to deliver 16% growth and this is even pre-pandemic, so pretty positive there. In terms of retention we said this may happen in terms of rounding down. As Brian mentioned in his remarks, the industry-wide appliance issues coupled with early in the pandemic we had a pause with our -- some of our call center providers that create longer hold times. So those are all behind us at least the staffing and training pieces of the call center are behind us. We've been working a lot on seeing a delivery of appliances and parts. Brian's comments earlier really give a lot of kudos to the team in terms of just the level of precision we've gotten to in terms of expanding our parts suppliers, managing real-time inventory within the OEMs. And then from a technical perspective, the teams also delivered the appliance portal, making it easier for customers to pick out the replacements and making it more of a customer delighter rather than -- it's always tough that you have to replace an appliance. So all those things combined, I think that as we work on those from a retention perspective, I'm expecting retention to improve over the balance of this year. We're also early -- in early stages of implementing Streem into our business operations. So all those things I think these cross-functional efforts will provide a strong tailwind for retention.
Youssef Squali : Thanks Rex.
Rex Tibbens: Thank you.
Operator: And our next question today comes from Ralph Schackart with William Blair. Please go ahead.
Ralph Schackart: Good afternoon. Thanks for taking the question. First question just on pricing increases that as consumers come up for renewal, and I'm assuming the new renewals are at a higher price. Just curious, sort of, the receptiveness of the consumers to take the higher pricing? And then I think in the prepared remarks you talked about Streem perhaps also playing into that. And just a reminder if you're charging for Streem now and how those commercialization efforts are going? Thank you.
Rex Tibbens: Yeah Ralph. So in terms of pricing -- from a dynamic pricing perspective as we discussed in the past really we're looking at our customers on a ZIPCO plus nine basis. So really a sub-division level and looking at the risk deciles across those sub-divisions. We're not seeing any change from an elasticity perspective. We're able to measure it pretty succinctly and we continue to kind of tweak along the way. But with the change in pricing, certainly, I think pandemic has a broader value proposition to bare. So we haven't seen any changes from an elasticity perspective. And then as it relates to Streem, we don't charge customers in terms of us asking them to utilize Streem to resolve their problems. But the Streem team is growing in terms of its SaaS business as well. So as we talked about in earlier calls, partnerships with Lowe's and CLEAResult and others. So we expect to grow both externally Streem from a revenue perspective and then have Streem deeper in our operations so that we can provide a very digital diagnosis if you will on behalf of our customers.
Ralph Schackart: That’s helpful. Thanks Rex.
Operator: And our next question today comes from Mike Ng with Goldman Sachs. Please go ahead.
Mike Ng: Hey, thanks for the question. I just have two. First it seems like Proconnect is pacing well and you should be on your way to hit the full year target of I think it was $20 million. Could you just give us an update on your Proconnect expansion plans for the rest of the year and whether you see an opportunity to exceed your target? And then second, I was just wondering if you could talk a little bit about the visibility you have into this parts supply constraints. I know you mentioned that, it may improve later this year. Is that with -- because of demand coming off or are your manufacturers really ramping up supply and you expect that to release some of the pressure? Thank you.
Rex Tibbens: I'll take the Proconnect piece and then ask Brian to comment on the supply chain piece. In terms of Proconnect, I do think we're off to a great start. We're laser focused on execution. We're in 35 markets and we're on track for both expanding those markets to add other trades as well as our job volume goals. So I'm not ready to declare that we're going to be ahead of plan, but I am comfortable in terms of where we are to plan. So we started with appliances. We're rolling out -- both plumbing and electrical is next. We're in some cities but not all 35 yet. But all systems are go and we're just -- much like the company, we're just focused on execution. Brian, do you want to take the supply chain piece?
Brian Turcotte: Sure. Thanks Rex. And, hi, Mike. How are you doing? Yeah, we're seeing some light at the end of the tunnel on parts. And I think it's two-fold. One it's as Rex said the great job, our supply chain is doing, team is doing with leveraging our national supplier relationships. We're expanding our supplier base. We're doing all sorts of things. We're integrating with our suppliers to order parts. So I think we're doing a good job from that perspective. But as well as the OEMs and parts suppliers, I think, they're doing a better job catching up. It's just that demand continues to outstrip supply. But I think towards the end of the year we'll be doing a much better job getting that into balance. That’s helpful?
Mike Ng: Yes. That’s really helpful. Thanks, Rex. Thanks, Brian.
Brian Turcotte: Excellent. Thank you.
Operator: And our next question today comes from Robert Coolbrith with Wells Fargo Securities. Please go ahead.
Robert Coolbrith: Thanks for taking my questions. On retention, I think, you've noted in the past the opportunity to maybe utilize dynamic pricing to help with retention in cases where you may have had an adverse customer support demand or even cases where there may have been a lot of utilization. So just wondering if you might be able to comment on the opportunity to address the retention issues with maybe some support from dynamic pricing? And then on the supply side I know you noted some of the issues around the supply chain. I was just wondering if you still have plenty of runway with your preferred provider networks? Any issues around hourly inflation or just availability in those networks as demand continues to be pretty robust? Thanks.
Rex Tibbens: Yes, absolutely. In terms of dynamic pricing as it relates to retention, the great thing about dynamic pricing is just that dynamic. So we can focus on unit growth or we can focus on gross margin expansion. And so I think the team has done a nice job of kind of balancing those two things. As it relates to, kind of, pure retention we do have retention teams in place. So if someone has an issue with price or has had a service experience that may then go as well the team has playbooks in terms of how to address that. So I think both those things are going well and that's why I'm kind of bullish on the -- my comments around the kind of strong tailwind as it relates to retention in the back half of the year. As it relates to labor for our contractors, we continue to push our algorithms so that we're getting the most from our preferred contractors. Happy to say, we continue to be in kind of the low to mid-80s across the country. That's a no small feat with some of the -- certainly some of the appliance issues. But the team has done an incredible job there of really managing this on a very macro level and a retail level. As it relates to, kind of, making sure we have enough contractors we haven't seen any issues. Again our preferred contractors we're about 40% of their business. So it's a very like symbiotic relationship between the companies. I think they are having some troubles when it comes to like office staff and things like that dispatchers. It's a very high labor market right now. But at least it relates to the skilled core trades we're not seeing any indications yet of trouble ahead. 
Robert Coolbrith: Great. Thank you.
Rex Tibbens: You bet.
Operator: And our next question today comes from Kevin McVeigh of Crédit Suisse. Please go ahead. Kevin, your line is muted for us. Mr. McVeigh, we are unable to hear you live. All right, while we'll sort that out. I'm going to go to our next question which comes from Ian Zaffino with Oppenheimer. Please go ahead. 
Ian Zaffino: Hi. Great. A couple of questions here. I wanted to hone in on the real estate channel. I mean obviously it's doing pretty well. And I guess a little while ago we weren't so sure and maybe you were, sort of, shifting over more to DTC, but now real estate seems to be doing pretty well. How exactly are you guys, sort of, managing this? How are you thinking about your approach? And then also on the real estate state side again, you had a bunch of initiatives you were lining up whether it was establishing relationships directly with the broker themselves where -- you can maybe follow them as they move around. And that might be an issue particularly now that the labor market is hot. Maybe touch on some of those initiatives on the real estate side. And then I have a follow-up. Thanks.
Rex Tibbens: Yes. Hi, Ian, it's Rex. Yes as it relates to kind of our overall marketing mix I think we're in a good position for both direct-to-consumer as well as real estate. As Brian mentioned in his comments Q2 was kind of the big dip last year as it relates to the real estate market. So we're expecting a very different view in 2021. But this is -- because of record low inventory this is a seller's market. So we've been very focused through our brokerage partners to focus on buyers instead of normally we focus on sellers to make sure that we're reaching those folks who want to add a home service plan to their house or even after the fact they want to add a home service plan to their house. So that's been going well. I think the team has been executing well on that. So it's been a big shift from, kind of, focused more on buyers and sellers. We're also expanding into new verticals. So we signed a deal I think we announced last quarter with Mr. Cooper, I think, the third largest mortgage provider. We see opportunity there as well from a verticals perspective. And then to your point about kind of technology we do -- we're working very closely to make sure we have kind of that digital footprint if you will with our best realtors who understand our product and who market our products. So we have the ability to kind of follow them wherever they may go. 
Ian Zaffino: Okay. Thanks, Rex. And Brian, can you just touch on capital allocation? How are you thinking about that and what we should expect on that front? 
Brian Turcotte: Yes. Thanks, Ian. How are you doing? I think first and foremost we're going to continue to invest in growth in our business the HSP business as well as Streem and ProConnect. And that's first and foremost drive the top-line for the business. And we'll look at debt repayment as well as an opportunity for us an acquisition. As I mentioned in my prepared remarks, we're still very acquisitive both in the home services front and technology. So those are really the three things we're looking at today, again investing in the business being acquisitive and repaying debt opportunistically.
Ian Zaffino: All right, guys. Thank you very much. I'll take the rest offline.
Rex Tibbens: Thank you.
Operator: And our next question comes from Kevin McVeigh with Credit Suisse. Please go ahead. Mr. McVeigh we're still not able to hear your line, sir.
Kevin McVeigh: Okay. Is that better? 
Operator: Yes. That's better now. Yes sir. Please proceed.
Kevin McVeigh: So, sorry about that. Hey Rex or Brian, I wonder could you compare and contrast kind of some of the equipment shortages, you're seeing in this cycle versus the last one. It's probably about 24 months ago, because it seems like you're managing through it a lot more effectively this time as opposed to the last one and probably what's an even more challenging environment. So maybe just some puts and takes, if you like operationally you're a lot further along. Is that the right way to think about it? But just if you could maybe compare and contrast both experiences a little bit?
Rex Tibbens: Yes. I can talk about some of the technology and then would ask Brian. He's far closer to it. I think Brian would probably tell you because Brian owns that team and they're doing so well. But I'll take some of the... 
Kevin McVeigh: Yes. I figure that Rex. That's why I asked a question. 
Rex Tibbens: Yes. Certainly from a technology perspective, I give the team a lot of props in terms of we're looking for the right APIs to connect into. So we have a lot more inventory visibility. The team has gotten I think a lot more educated over the last couple of years in terms of our ability to kind of dynamically do authorizations. So I think it's a whole confluence of what I'd say good technical hygiene in terms of digitally connecting with our key suppliers, as well as expanding our key suppliers. And then as it relates to some of the more strategic sourcing and things that have been going on in the last 24 hours, I'll turn that over to Brian. 
Brian Turcotte: Yes. Rex I think you hit a lot of them. We had a very strong supply chain team that I inherited and we brought in a great leader about a year ago, that just raised the level of the team. And we've built really close relationships with our partners our OEMs and parts suppliers. And I think that's paying off when times are tough and I think we can go to them. And we have leverage with them to get parts maybe a little quicker than we could have previously. And again, expanding the supplier base is key. And then just as Rex said, using technology integrating with our suppliers to order parts and be able to track them more quickly in the system and getting them delivered to the contractors. It all comes together. And I think we're doing a much better job today than we did two years ago.
Kevin McVeigh: That's helpful. And then any thoughts as to pricing. I mean it seems like just given some of the shortages some of the labor pressure things like that you're probably able to have more fulsome conversations, as it relates to pricing. But just any thoughts on that within the context of the dynamic lens if you could?
Rex Tibbens: Sorry pricing in terms of how we price our home service plan contracts or pricing in terms of the supply chain issues? 
Kevin McVeigh: No. More on the home service plan contracts I apologize. 
Rex Tibbens: Yes. So this is where dynamic pricing just keeps paying dividends for us. Certainly being able to quickly pivot as it relates to price has been key for us. As renewals continue to lap our last pricing increase we expect that to help us moving forward throughout the course of this year. So we made some pricing adjustments late last year and early this year and I expect those to help offset any – help offset some of the gross margin pressure that Brian talked about. And obviously, as the country opens up more this will give us an opportunity depending how quickly we'll kind of move away from their home so to speak or not at their home every day. This may give us some opportunity to focus more on unit growth rather than gross margin. So that's the great thing about dynamic pricing is it's just that dynamic.
Kevin McVeigh: That’s helpful. Thank you so much.
Brian Turcotte: Thank you. Hey, Kevin one thing I'm remiss not saying that the supply chain team works very well with both our service organizations and our operations teams to make it really work. So I apologize for leaving them out at all. We all work together as a team to deliver the experience.
Operator: Thank you, sir. Ladies and gentlemen, thank you all again for joining Frontdoor's First Quarter 2021 Earnings Call. Today's call is now concluded. You may disconnect your lines and have a wonderful day.